Operator: Good day, ladies and gentlemen. Welcome to the Big 5 Sporting Goods' Second Quarter 2021 Earnings Results Conference Call. Today's call is being recorded. With us today are Mr. Steve Miller, President and Chief Executive Officer and Mr. Barry Emerson, Chief Financial Officer of Big 5 Sporting Goods. At this time, for opening remarks and introductions, I'd like to turn the conference over to Mr. Miller. Please go ahead sir.
Steve Miller: Thank you, operator. Good afternoon, everyone. Welcome to our 2021 second quarter conference call. Today, we will review our financial results for the second quarter of fiscal 2021 as well as provide an outlook for the third quarter. I will now turn the call over to Barry to read our safe harbor statement.
Barry Emerson: Thanks Steve. Except for statements of historical fact, any remarks that we may make about our future expectations, plans, and prospects constitute forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in current and future periods to differ materially from forecasted results. These risks and uncertainties include those more fully described in our annual reports on Form 10-K, our quarterly reports on Form 10-Q, and our other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that may be made from time-to-time by us or on our behalf.
Steve Miller: Thank you, Barry. We are excited to report second quarter results that exceeded our expectations, as we achieved another quarter of record sales and earnings. This is now our fifth consecutive quarter of delivering record earnings for the respective quarter. Our performance was once again driven by a combination of broad-based sales rate, merchandise margin expansion, as well as operating with a cost structure that is meaningfully enhanced compared to pre-pandemic period. We generated $52.9 million of EBITDA for the quarter. With these results, we increased the cash on our balance sheet to $118.9 million. This represented an $18.8 million improvement over the course of the quarter. And we did this while paying shareholders cash dividends of $25.8 million during the period, including a $1 per share special dividends, in addition to an increased regular quarterly dividend. Additionally, given the continued strength of our business and financial condition, we announced another increase today in our regular quarterly dividend, which will move it up 39% from $0.18 to $0.25 cents. We have now increased our regular quarterly dividend each of the last four quarters. Now I would like to provide an overview of our second quarter results and then touch on our continued strength in the third quarter-to-date. Second quarter net sales were $326 million, the highest sales for any quarter in our company's history. This compared to net sales of 227.9 million for the second quarter of fiscal 2020, which was negatively impacted by significant pandemic-related temporary store closures over the first half of the quarter. Given the unusual circumstances last year, we believe it is perhaps more relevant to compare this year's second quarter performance with the comparable period in 2019, which was obviously not impacted by the pandemic. On that basis, this year's second quarter net sales of $326 million compared to net sales of 241 million for the second quarter of fiscal 2019. In addition to comping against last year's COVID-related temporary store closures, the increase in net sales also reflects the benefit of a calendar shift related to our 53 weeks fiscal 2020 that resulted in pre-Fourth of July holiday sales moving from the third quarter in fiscal 2020 to the second quarter in fiscal 2021, as well as the benefit of a calendar shift of the Easter holidays, during which the company's stores are closed from the second quarter of fiscal 2020 into the first quarter of fiscal 2021. These net sales comparisons can certainly get muddy with fiscal calendar shift, so we are glad we only have to deal with them every five or six years. Looking at our same store sales for the second quarter of fiscal 2021, which were reported on a comparable day basis, sales increased 31.2% versus the prior year period and 33.4% versus the 2019 period. Turning to the cadence of our monthly sales, April same store sales increased over 100% versus April of 2020. April was the month last year most impacted by temporary store closures. On a two-year basis, compared to April of 2019, same store sales were up more than 45%. May was up over 20% compared to 2020 and more than 30% compared to 2019, driven in part by a return to team sports in most of our markets. And in June, when we were comping against surge in sales last year, we were up high mid-single digits versus 2020 and up 25% versus the comparable days in 2019. In the second quarter, we saw strong demand across all three of our major merchandise categories. Apparel was up more than 70% versus 2020, and up more than 35% versus 2019. Footwear was up approximately 40% versus 2020, and up low-double digits versus 2019. Hardgoods were up approximately 20% versus 2020, and up more than 30%  versus 2019. The sales strength was broad-based across our product offerings, including a healthy return of our team sports business. On a year-over-year basis, transactions for the second quarter increased by nearly 40% versus last year, and were up approximately 8% versus 2019. Our average sale was down approximately 7% compared to last year, but up over 20% versus 2019. As a reminder, last year, during the height of a pandemic, we saw customers making fewer store trips, but with larger baskets. We've continued to achieve very healthy merchandise margins in the second quarter, up over 300 basis points compared to the prior year and up over 500 basis points compared to the 2019 second quarter. The margin gains primarily reflected favorable product mix shift and reduced promotional activity. In addition to benefiting from strong sales and merchandise margins, our results also continued to benefit from an improved cost structure compared to pre-pandemic periods, as we continue to operate with store hours and advertising spend significantly below historical levels. Turning to the bottom line, for the second quarter, we earned net income of $36.8 million or $1.63 per share. This was the highest net income for any quarter in our company's history. As I previously mentioned, these results reflect strong broad-based demand for sporting goods and recreational products throughout our markets. Although sales performed at a very high level, we were still constrained by the widely reported supply chain disruptions facing many retailers. Our team is managing through a wide variety of issues throughout the supply chain, including staffing issues at our distribution center, which have caused delays in delivering product to our store shelves. As I noted in our call last quarter, I suspect it will be sometime before supply catches up to demand for many categories. Looking now at our third quarter, our same store sales are currently running down high-single digits versus last year, and up in the high-teens versus 2019. We anticipated sales running down over this period compared to last year, given the sales in July last year were up approximately 30% for the comparable days, which represented the absolute peak of our 2020 sales surge. Compared to July's comps, the comps over the remainder of the quarter will ease considerably, as a comparable period last year was significantly impacted by the lack of back-to-school sales and team sports, which we believe should largely return this year. From a broader perspective, we are very pleased with the sustained strength of our business. While we certainly still face challenges related to the pandemic, including supply constraints and staffing issues, to-date, we have been able to navigate these challenges and leverage tremendous recreational trends that have translated to sales and margin strength across our product categories. With an increased focus of staying healthy over the past year, people have been engaging or re-engaging in more recreational activities than before. Our assortment of fitness and recreation products is very well situated for these trends, which are enduring beyond the peak impacts of the pandemic. Over our many years, we have established Big 5 as a well-recognized and trusted sporting goods destination or our markets, and we have further expanded our customer base over the course of the pandemic. In sum, we remain very enthusiastic about our business and are confident in our ability to continue to capitalize on our positive trending and improved cost structure to deliver strong bottom line results. Now, I will turn the call over to Barry to provide additional details.
Barry Emerson: Thanks, Steve. Net sales for the fiscal 2021 second quarter were 326 million compared to net sales of 227.9 million for the second quarter of fiscal 2020 and net sales of 241 million for the second quarter of fiscal 2019. The second quarter of fiscal 2020 included significant temporary store closures due to COVID-19, particularly over the first half of the period. For the second quarter of fiscal 2021, same store sales increased 31.2% versus the prior year period and 33.4% versus the 2019 periods. In addition to comping against last year's COVID-related temporary store closures, the increase in net sales also reflects the positive impacts from calendar shifts that Steve mentioned. Gross profit for the fiscal 2021 second quarter increased to 126.9 million from 72.2 million in the second quarter of the prior year. The company's gross profit margin was 38.9% in the fiscal 2021 second quarter versus 31.7% in the second quarter of the prior year. The increase in gross profit margin largely reflects a 380 basis point increase in merchandise margins, significant leveraging of store occupancy cost as a percent of net sales, and the favorable impact from higher distribution costs capitalized in the inventory for the quarter. Our higher merchandise margins primarily reflect lower promotional activities, a shift in our product sales mix and higher sales prices in response to increases in product purchase costs. Selling and administrative expense, as a percentage of net sales, improved to 24% in the fiscal 2021 second quarter versus 25.6% in the prior year period, and also compared favorably to 30% in the fiscal 2019 second quarter. SG&A expense for the quarter increased by 20.1 million from the prior year, primarily due to significant temporary store closures last year as a result of the COVID-19 safety precautions. To a lesser degree, the year-over-year increase in selling and administrative expense was also impacted by higher performance-based incentive compensation. SG&A expense in the current year period and the prior year period each included a special recognition bonus provision for certain store-based employees. Now looking at our bottom line, net income for the second quarter of fiscal 2021 was 36.8 million or $1.63 per diluted share. This compares to net income for the second quarter of fiscal 2020 of 11.1 million or $0.52 per diluted share, which included a previously reported net benefit of approximately $0.13 per diluted share. Briefly reviewing our 2021 first half results, net sales were 598.8 million, compared to net sales of 445.7 million in the first 26 weeks of last year. Same store sales increased 31.5% in the first half of fiscal 2021 versus the comparable period last year. Net income for the first 26 weeks of fiscal 2021 was 58.3 million or $2.59 per diluted share, including a net benefit in the first quarter of $0.06 per diluted share related to an insurance settlement and the elimination of an employment agreement liabilities. This compares to net income for the first 26 weeks of fiscal 2020 of 6.5 million or $0.31 per diluted share, including a previously reported net benefit of $0.13 per diluted share. Adjusted EBITDA was a healthy 52.9 million for the second quarter of fiscal 2021 and 83.2 million for that 26 week period ended July 4, 2021. Turning to our balance sheet, our merchandise inventory at the end of the fiscal 2021 second quarter was down 5.6% compared to the prior year, after being down 20.8% year-over-year at the end of the first quarter. As Steve indicated, we have experienced broad-based demand across our product categories, including a return of team sports, which was negatively impacted last year due to COVID. Our buying team continues to work closely with our vendors to obtain key merchandise. But in some categories, we are seeing disruptions associated with manufacturing and freight issues, which have caused some delays and shortages. Looking at our capital spending, our CapEx, excluding non-cash acquisitions, totaled 4.1 million for the year-to-date fiscal 2021 period. For the full fiscal year, we expect to ramp up our CapEx to a more normalized level in the range of 11 million to 15 million, primarily representing investments in store-related remodeling, new stores, distribution center equipment and computer hardware and software purchases. For the year, we expect to open approximately five new stores and close approximately two stores. The combination of sales growth, merchandise margin expansion and improved cost structure allowed us to generate substantial operating cash flow for the year-to-date period. Our operating cash flow for the first half of fiscal 2021 was a positive 88.7 million or an increase of 30.5 million versus the prior year period. Our strong operating results continue to positively impact our balance sheets and provide us a great deal of financial flexibility. We ended the fiscal 2021 second quarter with zero borrowings under our credit facility, and with cash and cash equivalents of 118.9 million. This compares to zero borrowings and 100.1 million of cash and cash equivalents, as of the end of this year's first quarter, and 35 million of borrowings and 16.7 million of cash, as of the end of the second quarter last year. This reflects a 137.2 million improvement in net cash on a year-over-year basis. We grew our net cash by 18.8 million over the course of the second quarter of fiscal 2021, while also paying shareholders cash dividends of 25.8 million during the quarter. Further, as Steve mentioned, in light of the continued strength of the company's business cash flow generation and enhanced balance sheet, the company's Board of Directors has declared a 39% increase in its quarterly cash dividend from $0.18 per share of outstanding common stock to $0.25 per share of outstanding common stock, which will be paid on September 15, 2021 to stockholders of record as of September 1, 2021. In addition to the $1 per share special dividend paid in the second quarter, this represents the fourth increase in our regular quarterly dividend over the last four quarters from $0.05 to $0.25 per share, and demonstrates the Board's ongoing commitment to return value to shareholders. Now I'll spend a minute on our guidance. For the fiscal 2021 third quarter, we expect same store sales in the flat to positive mid-single-digit range versus the prior year period, and to increase in the low-teens to high-teens range versus the fiscal 2019 third quarter, and earnings per diluted share in the range of $0.95 to $1.15. This guidance compares to a same store sales increase of 14.8% and earnings per diluted share of $1.31 in the third quarter of fiscal 2020, which until this past quarters at $1.63 of earnings per share were the highest earnings of any quarter in the company's history. For comparison, earnings per diluted share for the third quarter of fiscal 2019 were $0.30. Over the remainder of the third quarter, we anticipate continued impacts related to the widely reported supply chain disruptions and employment challenges throughout the retail industry. Additionally, guidance relative to the prior year period reflects the unfavorable impact of the calendar shift related to our 53 week fiscal 2020, which moved the Fourth of July holiday from the third quarter of fiscal 2020 into the second quarter of fiscal 2021. As a result, the third quarter of 2021 excludes the historically high volume Fourth of July holiday week, which is replaced by a historically low volume week in early October. Because of this calendar shift, we anticipate an approximately $0.20 unfavorable impact to diluted earnings per share for the third quarter. Our guidance also assumes that any new conditions relating to the COVID-19 pandemic will not materially impact our operations during the period. Additionally, our guidance for the third quarter reflects our expectation that we will continue to achieve merchandise margin gains on a year-over-year basis. That concludes our prepared remarks. Operator, we are ready for any questions.
Operator: Thank you.  Our first question comes from Mark Smith with Lake Street Capital. Please go ahead with your question.
Mark Smith: Hi, guys. First question for me, I just wanted to ask a little bit about inventory today versus a year ago. It sounds like inventory is down. But can you just talk about some of the high demand categories and where you stand now maybe versus a year ago and thinking back a year ago to, as I recall, kind of fishing being completely gone, some of the exercise equipment, shooting, hunting. Anything that you can give us on how you stand today from a store inventory perspective would be great.
Steve Miller: Yeah, there's so many moving parts looking at this year versus last year, but let me see if I can address some of your issues. I mean, we're seeing strain throughout our product mix. Some of the categories last year that were ridiculously short of supply were in the fitness, the initial surge was in fitness and we're certainly in a better position there, I don't know that we're 100% caught up or not 100% caught up. But from an inventory standpoint, we're chasing inventory in virtually every category, almost throughout the stores. I mean, we're seeing the supply chain is created disruptions. Deliveries being late, it has probably become to some degree the new norm. It's not that we're not getting inventory, we couldn't produce the sales that we have, if we were operating out of an empty wagons. We are producing - we're getting a fair amount of inventory but we're selling it very, very quickly, which I guess one would argue, say, a high-class problem because it's an issue. But, Mark, does that answer your question? I can - maybe you can zero it on?
Mark Smith: Yeah, no, that helps. One category I want to look at is just team sports, which last year, going into the school year, kind of didn't exist as much. Historically, in q3, is it football, soccer, what are kind of the team sports where you see some benefit that maybe will be better this year versus a year ago.
Steve Miller: I mean, there are - we're already seeing very positive indications of football, soccer, it's early in the season but those sports were almost non-existent last year. We get a little - in the third quarter, we get some fall baseball that fundamentally didn't occur last year, we get some volleyball, girls' volleyball participation that is helpful. So we think we have a lot of categories that will perform incredibly positively versus last year. And so, that's why we anticipate that our sales performance over the balance of the quarter will be much more solid than what it was for the start of quarter.
Mark Smith: Okay. And then looking out a little bit further here into Q4, I would assume that we don't have any real timing issues due to the sheer sense that it'll be more comparable with Q4 this year versus a year ago. If you can talk about some of the winter sports and activities and if you're seeing any pre-buying from consumers who maybe weren't able to pick anything up last year and maybe how you feel about your inventory in some of those categories going into Q4?
Steve Miller: Well, we're certainly not in the hardest summer seeing any pre-buying of winter product and the truth of the matter is we're pretty much sold to the bone in our winter product last year, so we've got - we've replenished our orders outstanding. We are hopeful and I think we have given ourselves hopefully enough wiggle room to bring the product in with all the supply issues in time for the winter season. So, we're really excited about the refreshment of our winter products, but, as far as any indications now, I couldn't begin to make a comment on that.
Mark Smith: Okay. And nothing from a timing perspective that we should be aware of, I assume in Q4?
Steve Miller: Well, I mean, the only thing I think to be aware of is that last year, Q4 was a 14-week period. So, Q4 will effectively start like one week later this year than last year but it will include, obviously, the Christmas holiday and the week of New Year's as well, or most of it.
Mark Smith: Okay. And I guess the last one for me, just to clarify and make sure I heard it right. It sounds like to-date, comps are down versus a year ago high-single digits that you expect kind of continued sequential improvement throughout third quarter.
Steve Miller: Very significantly, yes. Yeah, towards the start the last year, the July period, the absolute peak period of surging sales, we were - to give you some reference point, in July last year, we were up approximately 30% for the comparable days in July. In August last year, we were up 2%, mostly because, to a large extent, the team sports impact that I just spoke to. And in September, we were up a little over a little over 10%.
Mark Smith: Maybe I'll squeeze in one more that we haven't talked about, and we haven't heard many retailers or others talking about it yet. But with tax credits coming out early to families with children in July, any bumps that you can call out kind of mid-month that some of those checks went out and people spending that money, maybe, in your stores?
Steve Miller: Honestly, not Mark. I mean, obviously, it has to help. I mean, I think we - looking backwards over the second quarter, I think we can acknowledge some bump from the stimulus checks and that I believe contributed to - why our April was so strong relative to 2019, all the months were strong but April was the strongest. So, I assume there's some positive effects there. But in July, again, with product issues and comparing to the surge of last year, I don't know that we can put our finger on any benefit from checks that are being received in July.
Mark Smith: Okay, great. This is helpful. Thank you guys.
Steve Miller: All right. Thank you, Mark.
Barry Emerson: Operator, I think - are there any other questions?
Steve Miller: Hello.
Steve Miller: Alright. Well, thank you all for joining us in today's call. We appreciate your interest in Big 5 Sporting Goods and look forward to speaking with you again after the conclusion of our third quarter. Thank you.
Operator: Thank you. Apologies for the delay. That concludes our conference. I'll now turn it back to Mr. Mr. Miller for closing remarks.